Operator: Ladies and gentlemen, thank you for standing by. I'm Natalie, your Chorus Call operator. Welcome and thank you for joining the Fresenius Medical Care Earnings Call Report on the First Quarter 2022. So today’s call presentation all participants will be in a listen-only mode. The presentation will be followed by question and answer session.  I would now like to turn the conference over to Dominik, Head of Investor Relations. Please go ahead.
Dominik Heger: Thank you, Natalie. As mentioned by Natalie, we would like to welcome you to our earnings call for the first quarter in 2022. We appreciate you joining today to discuss the performance of the first quarter and of course, of the outlook. I will, as always, start out the call by mentioning our cautionary language that is in our safe harbor statement as well as in our presentation and in all the materials that we have distributed earlier today. For further details concerning risks and uncertainties, please refer to these documents as well as to our SEC filings. We are aware that today is a busy reporting day with three German companies in the sector reporting. Therefore, we will try to keep the presentation short and leave time for questions. As always, we would like to limit the number of questions again to two in order to give everyone the chance to ask questions. Should there be further questions and time left, we can go a second round. It would be great if we could make this work. Unfortunately, we are limited to 60 minutes for the call. With us today, unfortunately, for the last time, is Rice Powell, our CEO and Chairman of the Management Board. Rice will give you some more color around the strategy and business development, and of course, also with us, Helen, our Chief Financial Officer, Chief Transformation Officer and the Deputy CEO, who will give you an update on the financials and the outlook. Before I hand over, I want to make sure that you all have in your diaries our next expert call on June 28, with Frank Maddux, our Chief Medical Officer; and Joe Turk, who heads our home activities and is former President of NxStage Medical. They will provide an update on how we are accelerating home growth. Further information is available on our website. Rice, the floor is yours.
Rice Powell : Thank you, Dominik. Welcome, everyone. Thank you for joining our presentation today. You will have seen the announcement yesterday and Dominik has already mentioned that this will be my last earnings call as I will now shift my focus to the handover for the remainder of this year. I think now I'm looking at somewhere around 41 or 42 earnings calls for me in the role as CEO and Chairman. I have thoroughly enjoyed my time discussing FMC with you trying to answer your questions and guide you as best that we could as we took the journey through these 10 years together. Before I start with the quarter, I'd like to say a few words on the war in Ukraine. I am both touched and proud of our team there. Our colleagues are relentlessly continuing to provide for our patients even risking their lives to continue to administer dialysis treatments under the most difficult circumstances. It is admirable and it's heroic, and I'm very proud of these people. Although it has less focus in the media, the pandemic continues to be present and the highly infectious Omicron variant has put a great deal of strain on our organization. I continue to be grateful to our entire team and our frontline workers in the clinics, our production sites and distribution centers for their continued tireless work in what is an extraordinary situation for more than two years now. As flagged in our last earnings call in February, we were expecting a weak start into the year, driven by high excess mortality as well as inflationary pressures in all spending categories for the company. January excess mortality was even higher than expected. And while we did see very significant declines in February and March, overall, first quarter excess mortality was higher than we had assumed. Omicron affected us in multiple ways particularly in our health care services business in North America. I will show you later, Omicron caused infection rates to spike high in our patient population. And so we once again had to increase the number of isolation clinics, which led to additional labor cost in the forms of extra shifts over time and hazardous pay. Due to its highly infectious nature, we had record absenteeism and sick leave as our employees either had to isolate for themselves or take care of their family members. Therefore, we had to employ more temporary and traveling nurses and other temporary staff in our services business. Additionally, we were short of employees in some of our manufacturing sites as well as our delivery drivers resulting in increased supply chain costs for distribution and logistics, in particular, in the products business. Additionally, we all see higher oil and energy prices, leading to increased raw materials and logistics costs. We have a sizable negative effect, particularly on our product margins, which are already under inflationary pressures. Despite these significant adverse developments, we continue to progress in our FME25 transformation. We are also encouraged by the strong decline in COVID-19 infection rates that we have recently observed in February and March of the quarter. Consequently, we confirm our financial targets for 2022. We also continue to make good progress in several important strategic areas. The announced merger between Fresenius Health Partners, InterWell Health and Cricket Health in March is an example of how we are executing on our 2025 growth strategy while also leading the market in value-based care. The new company, which will be fully consolidated by FMC and operate under the InterWell Health brand will manage 100,000 lives. With the merger, we now target for 2025 to engage and manage the care of more than 270,000 people with kidney disease and manage roughly $11 billion of medical costs. We expect the transaction to close in the second half of this year.  Despite the unprecedented and not improving labor shortage situation and the resulting lack of training capacity for our home dialysis business. I'm glad to say that we've managed to keep our share of U.S. treatments in a home setting at a high level of slightly more than 15% through the first quarter. And as you know, when we need nurses out of our training facilities, to go into clinics to provide treatments, we will do that, and that does put pressure on our training capabilities. We are making good progress on our sustainability journey. As you know, we began the year by setting our global climate targets. We are now working on continuously implementing our target road map, and we will regularly report on our progress. We have also increased transparency on our sustainability activities. Our recently published nonfinancial report outlines the progress of our global sustainability program and highlights focus areas and measures we are taking to support our patients, our people and the environment. This annual sustainability update includes more than 200 sustainability performance indicators. Turning to Slide 5. As you well know, we are very mission-focused at Fresenius Medical Care and our number one priority is delivering quality outcomes for our patients. During the first quarter, we delivered approximately 13 million life-sustaining dialysis treatments to more than 343,000 patients. The absence of growth in the number of patients and treatments directly reflect the impact of the COVID-19 pandemic. While the number of clinics increased by 1% year-over-year, mainly due to acquisitions, it is important for you to note that sequentially, the number of clinics has declined from Q4 2021 through the first quarter. Turning to Slide 6. This slide highlights our key quality indicators, which show the stability of clinical results in our patients receiving their treatments as there is no visible COVID-19 impact on the quality that we are delivering. We continue to see stable anemia as well as bone and mineral metabolism control, demonstrating that our patients are receiving consistent high-quality dialysis care even throughout the pandemic. I would ask you to note on the bottom of the chart, you can see we have now moved the days in hospital per patient year on a global basis. This is new. It's something I promised to do for you before I retired. And so let it be made known, we got this done. And you can see the first quarter of '21, and then we've made some progress in the first quarter of '22. Moving on to Slide 7. This slide compares the development of COVID-19  match the emergence and spread of the highly contagious Omicron variant. We are extremely relieved to see that the infection rates have since come down almost as fast as they had previously spiked. We're back to the level seen before the Omicron-related surge. With the substantial spike in confirmed infections in the month of January, we once again had to increase the number of isolation clinics leading to additional labor cost in the form of extra shifts, over time, hazardous pay. With 800 clinics, we had more than 3 times as many isolation shifts at the peak of Omicron in January than we had at the end of March when we were at 250-some-odd isolation clinics. Tremendous impact in that period of time with the infection. Turning to Slide 8. COVID-19-related excess mortality significantly increased in January. Even though excess deaths came down strongly in February and March, excess mortality among our patient population increased to around 2,300 during the quarter, and thus, it did exceed the assumptions we had. However, the assumed full year excess mortality range of 5,000 to 6,000 seems realistic to us at this point in time. Globally, since the start of the pandemic, excess death have accumulated to approximately 22,600. We expect that excess mortality in the second quarter will reflect the recently observed significant drop in our patient populations infection rates. Turning to Slide 9. During the first quarter, we realized revenue growth of 3% in constant currency supported by positive growth in both health care services and products. Unfortunately, that growth did not fall through to the bottom line, mainly due to significant increases in labor costs, further compounded by Omicron-related costs as well as the significant costs we incurred in our supply chain in the first quarter. In addition, increased energy, raw material and logistics costs are weighing on our product margins during the quarter. These substantial adverse developments were partially offset by an earlier than planned partial reversal of an accrual related to a revenue recognition adjustment for accounts receivables and legal dispute. So with that, we were able to deliver the quarter in line with our original expectations. We had assumed in our guidance support from the U.S. provider relief fund for our wholly-owned entities would help with the compounded labor cost. But those funds have not yet been distributed, and therefore, they did not offer us any opportunity in the first quarter. On the net income, excluding special items, declined by 23% on a constant currency basis. During the quarter, we had €33 million in FME25-related costs and a €22 million negative impact related to the war in Ukraine. Both numbers relate to operating income and are reported as special items. It is now my pleasure to turn it over to Helen, who will walk you through the financials and the outlook.
Helen Giza: Thank you, Rice, and hi, everybody. I'll pick up with the regional developments on Slide 11. First of all, with organic growth of 2%, it is good that we are seeing a sequential slight improvement in same-store growth. In North America, revenue increased by 9%. Constant currency growth of 2% was supported by the earlier than planned reversal of an accrual of around €20 million on the net income level that Rice has just mentioned. The adverse COVID-19 impact on the healthcare services business clearly had a negative impact on the development in the quarter. Therefore, organic growth was flat. Revenue in the EMEA region increased by 1%. At constant currency, this 3% growth was mainly due to organic growth in the healthcare services business, which was achieved despite the negative impact of COVID-19. In Asia-Pacific, revenue increased by 8% in the first quarter. At constant currency, the 4% growth was mainly driven by organic growth in the healthcare products business. And Latin America revenue increased by 15% in the first quarter, mainly driven by strong organic growth in both the healthcare services and healthcare products business. Moving to Slide 12. Healthcare services delivered revenue growth of 3% in constant currency, mainly driven by organic growth, which was achieved despite the adverse impact of COVID-19, the already mentioned partial reversal of an accrual and contributions from acquisitions. While same-market treatment growth is still negative, it has improved a bit compared with the fourth quarter. Once again, Asia-Pacific stood out as a positive regional contributor, delivering positive same-market treatment growth of around 2%. In healthcare services, the adverse impact from COVID-19-related excess mortality on organic growth amounted to approximately 290 basis points. Turning to Slide 13. Revenue for our healthcare products business also increased by 3% in constant currency, driven by higher sales of in-center disposables and renal pharmaceuticals. This was somewhat offset by lower sales of machines for chronic treatment. Turning to Slide 14. Here, we show the operating margin development for the first quarter with 180 basis points, the largest impact on margins year-over-year relates to adverse developments in business growth driven by the already mentioned negative effects of COVID-19 on the utilization of our clinics and downstream assets. The difficult inflationary environment impacted the margin with 80 basis points year-over-year. The continued high labor costs were further increased by the negative effect from Omicron which required the operation of more isolation shifts and clinics. Increased supply chain costs and the general macroeconomic inflationary cost increases in areas such as raw materials and freight, are only examples of cost increases every company has currently experienced, and this added to the unfavorable margin development in the quarter. Unfortunately, these headwinds more than offset the positive impact from higher average reimbursement rates, increased treatment volumes as well as the first contribution from our FME25 transformation program, consisting of initial savings from our reorganization towards the new operating model. Turning to special items. We incurred €33 million in costs related to FME25 resulting from the reorganization towards our new operating model. And of this amount, approximately €19 million was recorded in corporate and around €13 million in North America. In the first quarter of this year, we also had negative impacts of €22 million related to the war in Ukraine, consisting mainly of bad debt expense in Ukraine and Russia. These costs have been treated as special items. And over the next few months, we will have to observe and assess in more detail how our future business operations in both of these countries will develop and what scenarios may arise. The sequential 210 basis point deterioration of the operating margin compared to the fourth quarter of 2021 was impacted by COVID-19-related excess mortality that has continued to accumulate. This development shows the magnitude COVID-19 continues to have on our business. Turning to Slide 15. You will recall the list of tails and headwinds and related assumptions for the impact that we provided to you in February so that you could understand what went into our 2022 outlook. I would now like to give you some color on where we stand with the most important assumptions. As Rice described in detail, this has been a tough quarter for us. Another way of explaining the quarterly development to you is to explain how most of our tailwinds and headwinds already impacted the quarter. As mentioned on the previous slide, business growth was negatively impacted by a number of reasons with excess mortality being a sizable negative driver. In the further course of this year, we continue to expect a material tailwind from business growth based on organic growth and leveraging up our infrastructure, further penetration of home treatments and the expansion of our value-based care arrangements. FME25 savings already amounted to approximately €9 million. We expect the quarterly savings to step up in the next quarters as we proceed further with the implementation of FME25, and we are well on track to reach the guided range. Turning to the outlined headwinds. We continue to expect COVID-19-related excess mortality of 5,000 to 6,000. We assume that the first quarter will have had the biggest impact. Accordingly, of the roughly €100 million negative impact we anticipate for the full year, approximately one-third of this headwind was affecting the first quarter. The number of patient-facing open positions in the U.S. has increased by around 1,000 further openings. While this has helped us to counterbalance and reduce the impact from significant wage inflation, omicron-related additional overtime and hazardous pay, this is not the way we plan to continue in the next quarters. We clearly target to reduce the number of open positions significantly over the course of the year. To mitigate the impact on the future cost base, we focus on onetime measures like retention payments, but also have to accept that new hires might come in at higher compensation levels. Our full year assumption, which includes provider relief funding remains that we will have €100 million higher costs beyond the typical 3% wage inflation. Should we receive provider relief funding in excess of our assumptions for our wholly-owned subsidiaries, we will apply this to ease at least some of the pressure in our labor market situation with measures like the mentioned retention payments. This will be neutral to our guidance. As we did not have costs related to a ballot initiative in 2021, the potential ballot initiative in California could translate to a €20 million to €30 million headwind. So far this year, an amount of approximately $1 million has been spent on assets to defeat the ballot initiative. For the unfavorable macroeconomic inflationary environment and the elevated cost in the supply chain, we had put in a headwind assumption of €50 million. This was prior to the war in Ukraine accelerating the macroeconomic inflationary environment. In the first quarter, we've experienced a headwind of €16 million. This is likely to be an increasing challenge for us as for all other companies. And we are looking to accelerate some of our savings initiatives to compensate for the resulting effects. Moving to Slide 16. During the first quarter, we generated operating cash flows of €159 million, which equates to 3.5% of revenue. The decrease was mainly driven by the continued recruitment of the U.S. government's advanced payments initially received in 2020 under the CARES Act and a decrease in net income partially offset by a favorable impact from trade accounts and other receivables from unrelated parties. €170 million was recouped in the first quarter of 2022. With the recoupment of funds in our lower EBITDA, our net leverage ratio of 3.5 is within our target range. I'd like to continue with Slide 18. Despite the significant Omicron-related adverse developments, we were able to deliver a quarter that was in line with our original expectations. Given the significant drop in excess mortality in February and March, we reiterate our guidance and continue to expect low to mid-single-digit revenue and net income growth on a constant currency basis and before special items. I would like to flag to you that based on our current discussions with our auditors, we are likely to adopt hyperinflation accounting at our Turkish subsidiary from the second quarter onwards. From today's point of view, we expect this to have a low to mid-double-digit million euro impact on operating income in the second quarter and would be treated as a special item. That concludes my prepared remarks, and I will now turn back over to Dominik to begin the Q&A.
Dominik Heger: Thank you, Rice. Thank you, Helen, for your presentation. I will now hand back to Nathalie to open the Q&A. We look forward to your questions.
Operator:  And the first question is from the line of Patrick Wood from Bank of America. Please go ahead.
Patrick Wood: First one is just obviously, with input cost inflation and wage inflation, being challenging. How do you think midterm -- I know it's always tricky to answer this question, but whether CMS or the exchange plans or the private providers and the managed care side of things, we'll look at compensating the dialysis industry and I guess the others as well for that. And I guess some of that is connected to their ability to then pass pricing themselves on keep MLRs in a good place to their customers. So just trying to think about how much can also ultimately in the following years be passed back up the chain by you guys. I'm just curious how you're thinking about that midterm. So that's the first one. And then the second one, apologies if I missed this, but it's the first sort of quarter where we've seen a little bit more of a reversal in the clinic base, at least sequentially, obviously, not year-on-year. Just curious, is that connected to FME25? Is that looking at the base in general and just thinking there's some efficiencies you can take out? Just any kind of color around that would be very helpful.
Rice Powell : Patrick, it's Rice. I guess I'll take both of those. On the cost inflation and midterm, what might we see or hear from payers. I think we'll have to kind of separate the payers out. There is the mechanism for the government payers on Medicare fee-for-service, the cost reports are going to drive at a two-year lag what reimbursement we'll look at as we go through time. And I do believe that the rates are going to -- I think they have to go up given the inflationary things that we're dealing with. Now I think it's a little trickier when we think about commercial payers and where that may go. I think that's going to come down to negotiations and how we approach the impact that inflation is having on us and then what impact do they see and we'll have to work our way through that. But I think there's got to be a reality factor here that people understand that we're going through the highest inflation, particularly in the U.S. at the moment, but really worldwide that we've had in years, and we can't just see there an act like it's not happening, and we don't intend to do that. So I think there'll be some outcome of this, for sure. And then as far as the reversal of the clinics, I think we are simply signaling that we are looking at our clinic base, we're analyzing what we're doing. There'll be some of that. I think Helen goes into FME25 and some of it is just the situations that we're in right now. If we don't need clinics, if we just don't have a reason for them, given the pandemic and what we're seeing and the impacts there, we can easily kind of cut back on some of those and obviously, home plays into that as well. So I wouldn't read a big, big trend into it, but I would just say it's kind of reality setting in, if you will, and how we're going to manage it.
Patrick Wood: Appreciate the answers. And sorry to see you go, but hopefully, you can reset after a very intense sort of 7, 8 years.
Operator: The next question is from the line of Oliver Metzger from ODDO BHF. Please go ahead.
Oliver Metzger: Two questions regarding the freeway merger. So value-based care, the strongest structure by 80,000 end-stage in disease and 10,000 kidney disease if the merger is done, you want to plan to go from this 100,000 patients now to 270,000 in '25. So could you elaborate about the underlying assumptions? And how the split between CKD and ESRD is assumed still in this 80 to 20 mix or what's your assumption? Second question. In your last call, you specified the compensation for value-based care as 100 basis points of medical cost under management. The amount is expected to increase also the merger from €6 billion in '22 to €11 billion in '25 this measure. So as Cricket focus primarily is on CKD, where your focus is -- can you elaborate on the respective margin potential? Do you still regard the 100 basis points target as realistic for the new and entity?
Rice Powell : Oliver, I'll take a shot at your first question and Helen can -- will pick up your second question. So if you think about that growth of 100,000 to 275,000, remember that the opportunity in the CKD space is about 2 times to 3 times larger in terms of the lives of patients that you could impact versus the Stage 5 patients. So a lot of that growth from 100,000 covered lives to 275,000 is going to revolve around the CKD population and the fact there's just so many more opportunities there. I think it's too hard to try to give you a complete split, CKD to ESRD at this particular point in time since that's a little bit out in time, but we can work on that. But that's what's really driving it is just the size of the opportunity when you think about Stage 3 and 4 patients versus Stage 5. And then Helen, I'll turn it over to you on the medical cost under management, please.
Helen Giza: Yes. Oliver, well, as we think about the medical cost under management, yes, we see that as kind of around that 1%. We still think that makes sense to us mix. And obviously, over time, we would be looking to see how we could improve that. But I think 1% for modeling purposes is a good number to use.
Oliver Metzger: Okay. Great. And Rice, to you all the best for your future.
Rice Powell : Thank you, Oliver. Thank you very much.
Operator: The next question is from the line of Tom Jones from Berenberg. Please go ahead.
Tom Jones: Two questions. One, hopefully, for each of you. The first one for Helen, maybe Q1 -- sorry, sorry, Q4, you very helpfully gave us some idea of the percentage of net income you thought you were going to generate in Q1. I was wondering if you could give us some color on how you expect the phasing of net income to come out in the coming quarters. I think that steer you gave us the Q1 was pretty helpful. I wondered if you might do the same for Q2. And then the second one is maybe a big picture question really for Rice. But we're all very much focused on mortality in your clinics and cost inflation that you're having to deal with, but you are the sort of 500 pound gorilla in the industry, not you personally, obviously. So you are much more capable of dealing with these pressures than a lot of the smaller operators and smaller product manufacturers in the industry. So I'm just kind of wondering how you think the whole thing shakes out long term. Are there any kind of changes you think that will come in the industry that over the medium and longer term once we get over the current challenges will actually fall out in FMC's favor? It would be interesting just to feel how you're thinking about the longer term for the industry as we move forward.
Helen Giza: Tom, I'll take the first question. As you expected, I won't give you the percentage for Q2, but I think what you can expect is Half 2 will be better than Half 1. And obviously, we expect to improve on that profitability by quarter as we go through the year, ramping up as we get to the back half of the year. It's probably the best I can provide color to on that for now.
Tom Jones: Fair enough.
Rice Powell : Tom, nobody's ever called me 500 pounds gorilla before. Just for the record, I've lost about 20 pounds there. Look, I think it is going to be an interesting time for the industry as we come out of COVID. And I think how synergistic might it be that we're coming out of COVID and inflation stays up. If those separate and let's say people get really focused on inflation, bringing it down the Fed, the ECB or whatever, it might not be as tough as I kind of think it is going to be. I think we're going to see some drop out of the smaller providers. I think it's going to be really hard. And the biggest thing is just simply burn out. I mean I just think 2.5 years into this, there are physicians and caregivers that are just really going to struggle with now what are we doing if inflationary pressures stay as large as they are. I still think home is going to be hot, hot, hot. I think it's really going to be something that's going to grow and take off. And I think we're probably going to see some creative deal structures. We're going to see some movement in people trying to band together where they can cover their weaknesses by who they might partner with. Now that's not a read across to why we did our merger, if you will. But it's -- people have got to get out of this idea that they can buy everything they need and it's all going to be okay. Sometimes, and I've learned this the hard way, Tom, you got to partner with somebody that knows more about something than you do. And you got to bring your value to the party, and they got to bring their value to the party. And I think that situation we're in right now is going to drive some of that as we go out through time on this, but it interests me greatly. And it's probably something I'll sit around and think about when walk around the 500-pound gorilla, Tom.
Tom Jones: Good. And all the best for the future, Rice, and well done over the last years, it's been a challenging sort of 10-year period for the company, but we'll miss you.
Rice Powell : Thanks, Tom. I appreciate that.
Operator: The next question is from the line of Graham Doyle from UBS. Please go ahead.
Graham Doyle: Just two for me. So firstly, just on the cost savings side of things. So it looks like you've -- as you said in the presentation there, delivered something like a 20 basis point improvement, which is clearly at the bottom end already of your guidance for the full year. So it would be good to get a sense of what you've done thus far to deliver that. And maybe should we be thinking at the upper end of the range for this year. And then just a second question. So obviously, we've seen -- we're basically a change at the top of the business, but we've got targets set for 2025 and a strategy set for that. So would you be able to maybe comment on the sort of continuity around that and how the market should be looking at that as well.
Rice Powell : Helen, do you want to take that first one?
Helen Giza: Yes, go ahead with your question on the cost improvement specifically around 25?
Graham Doyle: Exactly, yes. So just -- obviously, it looks like it's off to quite a good start in Q1, and it doesn't leave much work to get to the middle of the range for the full year 2022. So I suppose, should we be looking at the top end of the range for 2022 in terms of cost savings?
Helen Giza: Yes. Thank you for clarifying. Yes, we are off to a good start. I think we're seeing some early savings from some of the initiatives that we had already started, particularly in some of the G&A functions like kind of technology and procurement areas. But we're also starting to see some savings come through from the kind of the clinic operations as an example and the restructuring around the operating model. Clearly, we are looking to see what we can accelerate all the time. Some of the labor situations, obviously, with consultation with workers' councils and things like that, make sure that we can only move at a certain pace, but nothing that we're overly concerned about. We are looking to lever -- we have a lot of initiatives, and we are looking to lever them all as quickly as possible. Our expectation right now is that, that will ramp up over the year. And clearly, as you see the inflationary measures that we're dealing with are going in the wrong direction. We would hope that if we can accelerate it with countermeasure some of the challenges that we are seeing there. But I do think we are encouraged with how the transformation is going and our ability to be able to book savings in Q1, but truly in line with our expectations on the phasing that we had.
Rice Powell : Yes, Graham, it's Rice. So let me see if I can walk a fine line here. Look, I would say this, the business is going to do just fine with me not being around. So I think the targets that we've set and the way we've vetted these targets among the management board and we presented them to our employee base and to the Supervisory Board. I can truly sit here right now at this moment in time and tell you that '23, '24 and '25 will be over in the blink of an eye. It goes really quick. And so I think that Carl is going to come in and take her read. She's going to work with his great management board, and they're going to figure out what they want to do. But I tend to think it may be a little reaching more like 5 years, 7 years out because we have a lot of work to do to get to where we wanted to be in '25. And I think we'll stay that course to try to get there. But make no doubt about it, there will be I'm sure some shifts in strategy and some different thinking we'll have to react to the world that we're in as we look a little further out 5, 7 years or whatever. But that's what my experience would tell me might be the way this plays out. But we also have to leave that open for Carl to come in and get our feet on the ground and start thinking about this as well.
Graham Doyle: Okay. I really appreciate that. And best of luck, Rice.
Rice Powell : Thank you.
Operator: The next question is from the line of David Adlington from JPMorgan. Please go ahead.
David Adlington: Heads up first, thanks, Rice, for we help over the last 10 years, it's been a pleasure and maybe you get some time to catch a lot more fish. Just in terms of -- on the questions on the wage inflation, I just wondered what you're seeing at the moment in terms of percentage of wage increases and how that compares with your original expectations on what you assumed in your guide. And then secondly, in terms of one thing you've given us last few quarters, not in this quarter slide is where your vaccination rates have got to go, please.
Rice Powell : Helen, do you want to take one, and I'll speak to two.
Helen Giza: Yes, happy to do so. David, yes, the whole topic of labor inflation, as we know, is quite complex and a lot of moving parts and when we gave guidance, we talked about a net increase of, I think, around about 5% at that time, kind of net to the three. As you can appreciate with what we experienced in Q1, we have favorability from open positions, which has been offset by the higher wage -- sorry, higher infection rates with Omicron in the isolation clinics covering employee absenteeism and so on and then higher costs from temporary labor, shift premiums and over time, for example. I think for us, obviously, what we're keeping a mindful eye on is measures do we need to put in place that are helping to overcome the challenges, but that are more temporary in nature for 2022 versus -- which is things like retention measures, for example, or onetime sign-on payments versus permanent measures, which are more of the things that we're seeing on wage compression and trying to -- as we fill those positions. So I think we'll see the labor pressure ramp up over the course of the year, but it is in line with our guidance expectations as we think about that, obviously, with some offset from relief that we still expect to get. So yes, quite a complex story on labor, but I think we have our arms around it as we see it today. And kind of still holding to that percentage that we had given last quarter.
Rice Powell : David, thank you for your best wishes. And I'll send you some pictures, okay? Some big fish pictures down the road. Vaccination rates. So on the patient side of this, we're at about 81%, up just a little bit from the other quarter slightly. But I'm happy to report on the employee side, we're at 96%. So we've had significant improvement there. And as we all know, the multimillion-dollar question will be, is there going to be another surge in the fourth quarter? And so we're going to continue to push. We are still trying to get patients vaccinated. We're in a good place with employees. But we never say never. So we're just going to keep pushing it as best we can. But there's an awful lot of fatigue out there, as you can imagine, on getting vaccinated.
David Adlington: Sure. Maybe just have a quick follow-up on the open positions habit. I think you mentioned a thousand this quarter, up to about 7,000. Is that right?
Helen Giza: That's right.
David Adlington: And are you seeing -- that's obviously a sort of a net figure in terms of people lost and people gained. Are you seeing a higher level of turnover currently than you would normally see in what impact does that have on training the new people that are coming in?
Helen Giza: Yes. It's can -- appreciate the challenges that you're putting out there. That's exactly what we're seeing. However, I would say that we are starting to make a dent into the filling of the positions with our -- we have some best-in-class employee referral programs, our recruitments going to campuses, recruiting directly. So I do feel that we're making an impact. And hopefully, next quarter, we'll be talking about that -- the positions that we -- we would hope that we're at the peak at this point it would start to come down from here.
Rice Powell : We have some people come back, Dave, we're actually rehiring some people. I think they've had a chance to clear their head and rethink about what they want to do. So that is beginning to happen for us as well. And that's great if we can do that so.
Operator: So there are no further questions at this time. I hand back to Dominik for closing comments.
Dominik Heger: So that's great. That was fast. Thank you. Sticking to 2. That was, I think, one of our casseroles. Thank you very much. And as it was recent last call, I don't say goodbye. I'll hand over to Rice.
Rice Powell : Thanks, Dominik. Listen, it's been a pleasure. Some quarters more than others, I might say. But I just want to wish you all well, and I appreciate the interest you've had in the company and when you supported us, I appreciate it and when you disagreed with us, understood it. But I wish you all very well, stay healthy and you guys just enjoy what you're doing. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded. You may now disconnect the line. Thank you for joining and have a pleasant day. Good bye.